Operator: Good morning. Welcome to the Trane Technologies' Q1 2024 Earnings Conference Call. My name is Briana, and I will be your operator for the call. The call will begin in a few moments with the speaker remarks and the Q&A session. [Operator Instructions]  I will now turn the call over to Zac Nagle, Vice President of Investor Relations. 
Zac Nagle: Thanks, operator. Good morning, and thank you for joining us for Trane Technologies' First Quarter 2024 Earnings Conference Call. This call is being webcast on our website at tranetechnologies.com where you'll find the accompanying presentation. We're also recording and archiving this call on our website.  
 Please go to Slide 2. Statements made in today's call that are not historical facts are considered forward-looking statements and are made pursuant to the safe harbor provisions of federal securities law. Please see our SEC filings for a description of some of the factors that may cause our actual results to differ materially from anticipated results. This presentation also includes non-GAAP measures, which are explained in the financial tables attached to our news release.  
 Joining me on today's call are Dave Regnery, Chair and CEO; and Chris Kuehn, Executive Vice President and CFO. With that, I'll turn the call over to Dave. 
David Regnery: Thanks, Zac, and thanks, everyone, for joining today's call. As we begin, I'd like to spend a few minutes on our purpose-driven strategy, which drives our engaging, uplifting culture and enables our differentiated financial results over time. Our purpose is centered on creating a more sustainable world, and our strategy is aligned to powerful mega trends like energy efficiency, decarbonization and digital transformation.  
 Customer demand continues to increase as the need to address climate change becomes more urgent. We need creative solutions and game-changing innovation to bend the curve on global warming and that's where Trane Technologies leads. Our relentless innovation, proven business operating system and high-performing culture enables us to consistently deliver a leading growth profile, strong margins and powerful free cash flow. The end result is strong value creation across the board for our customers, our shareholders, our employees and for the planet.  
 Please turn to Slide #4. In the first quarter, we extended our track record of strong execution. Our global teams delivered robust performance across the board. Quarterly bookings of more than $5 billion were at an all-time high and up 17% organically. Organic revenues were up 14%. Adjusted operating margins were up 230 basis points and adjusted EPS was up 38%. First quarter bookings strength was again led by our Commercial HVAC businesses globally, which were up over 20% with growth in more than 30% in equipment and mid-teens in services.  
 Bookings in our Americas Commercial HVAC business were once again a standout, up 30% with more than 40% growth in equipment and more than 15% in services. Booking strength was broad-based with growth in nearly all vertical markets. We delivered exceptional bookings growth across our applied solutions, leveraging the power of our direct sales force, deep customer relationships and leading innovation to capitalize on increasing project complexity in high-growth verticals.  
 Our Commercial HVAC pipeline remains robust around the world, and we see tremendous growth opportunities well into the future. Our strong growth profile provides us with excellent optionality to accelerate key investments in 2024 while delivering strong leverage, EPS and free cash flow. And we put a number of high ROI investments in flight in the first quarter. With a focus on future growth, these investments include product innovation, increased capacity, sales and service excellence, digital and automation.  
 Our bookings performance further strengthens our position for 2024 and increasingly for 2025. Q1 ending backlog of $7.7 billion is up 10% from year-end 2023. And we increased our backlog for 2025 and beyond by $800 million to a total of $1.8 billion, increasing visibility to future growth. Based on our Q1 results and expectations for continued strong performance, we're raising our full year revenue and EPS guidance. Chris will cover the details in a few minutes.  
 Please go to Slide #5. Demand for our innovative solutions continues to be exceptional with a book-to-bill of 120% on strong organic revenue growth of 14%.  In the Americas segment, our Commercial HVAC business delivered strong performance across the board. Bookings were up 30% in the quarter and up over 60% on a 3-year stack, led by our applied solutions portfolio, which we estimate carries an 8 to 10 multiplier of higher-margin services revenue over the life of the equipment.  
 Backlog for applied solutions continues to grow, which bodes well for future growth. Commercial HVAC revenues were up mid-20s with more than 35% growth in equipment and mid-teens growth in services. The compounding of services revenue year after year provides strong growth in good times and is resilient in more challenging macro conditions. We're investing heavily in sales and services excellence programs, strengthen our business for the long term.  
 Turning to residential.  Bookings were down low single digits and revenues were up low single digits. The business performed stronger than our initial expectations for Q1, and we're cautiously optimistic moving forward. Our transport businesses performed as expected, with bookings down low single digits and revenues down mid-teens. While we see the down cycle in transport as modest overall, the business is facing tough comps from 2023, a plus 20% growth comp in the first half and a down 20% growth comp in the second half, which impacts the OpEx in the near term.  
 In 2024, we expect to see a soft first half and a strong second half. Turning to EMEA. The region performed in line with our expectations. Commercial HVAC bookings and revenues were strong, up low teens and up high single digits, respectively, while transport bookings and revenues were down low single digits. The book-to-bill was very strong at approximately 120%.  
 Turning to Asia. The team delivered strong performance consistent with our expectations for the quarter. China remains very strong, with bookings up more than 20% and revenues up high teens. Asia's book-to-bill was also very strong at approximately 120%. Now I'd like to turn the call over to Chris. Chris? 
Christopher Kuehn: Thanks, Dave. Please turn to Slide #6. This slide provides a snapshot of our performance in the first quarter and highlight strong execution top to bottom. Organic revenues were up 14%, adjusted EBITDA and operating margins were up 200 basis points and 230 basis points, respectively, and adjusted EPS was up 38%. At an enterprise level, we delivered strong organic revenue growth in equipment and services, both up low teens.  
 Our high-performance flywheel continues to pay dividends, with relentless investments in innovation, driving strong top line growth, margin expansion and EPS growth. 
 Please turn to Slide #7. At the enterprise level, we delivered robust volume growth with strong incrementals, positive price realization and productivity that more than offset inflation. In our Americas segment, we delivered about 12 points of volume and about 3 points price, with our Americas Commercial HVAC business delivering very strong volume growth of approximately 20 points.  
 Strong adjusted operating margin expansion of 240 basis points was driven by strength in our Commercial HVAC business, which more than offset the expected impact from revenue decline in our transport business. In our EMEA segment, we delivered about 3 points of volume and about 1 point of price with stronger volume in our Commercial HVAC business. Adjusted operating margins were up 30 basis points for the segment and stronger when you consider the impact of acquisitions and FX in the quarter.  
 Excluding FX currency losses related to the devaluation in the Egyptian pound in the quarter, EMEA EBITDA margins would have been 19.5%. The Asia segment delivered mid-teens revenue growth almost exclusively from higher volumes. Strong volume, productivity and modest price contributed to 310 basis points of adjusted operating margin expansion. We reinvested heavily back into each business in the first quarter and expect to ramp these investments through the year to drive growth well into the future.  
 Now I'd like to turn the call back over to Dave. Dave? 
David Regnery: Thanks, Chris. Please turn to Slide #8. Our end market segment and business unit outlook is largely unchanged from our Q4 earnings call with a couple of notable differences. First, our Americas Commercial HVAC business had a very strong quarter, stronger than we expected despite a tough comp of mid-teens revenue growth in the first quarter of 2023. We're encouraged by the strong start for the business, especially when you take into account the exceptional 30% bookings growth and 125% book-to-bill ratio on mid-20s revenue growth in the quarter. 
 We expect the Americas Commercial HVAC business to remain strong throughout 2024 versus increasingly tough comps from 2023 as we move throughout the year. Second, our residential business performed stronger than we expected in the first quarter. We expect the business to be down modestly on continued destocking, and we believe the EPA clarification on sell-through helped to mitigate some of the independent wholesale distributors concern heading into this season. 
 While we're pleased with the results, the first quarter for residential is typically a very small percentage of the year and doesn't provide a sufficient read through to the balance of the season. We believe it's prudent to move through Q2 and gain more visibility before extrapolating too much from Q1. All other businesses performed as expected, and the outlook for the year are unchanged. We provided additional details on the slide for your reference.  
 Now I'd like to turn the call back over to Chris. Chris? 
Christopher Kuehn: Thanks, Dave. Please turn to Slide #9. Our initial 2024 guidance reflected optimism about key end markets and our ability to outperform. While we're only 1 quarter in, our exceptional bookings, revenues and backlog in our Commercial HVAC businesses strengthen our conviction that 2024 will be another year of robust top line and bottom line growth.
 We're raising our organic revenue guidance by 2 percentage points to 8% to 9% from 6% to 7% prior. We're also raising our full year adjusted earnings per share guidance by $0.30 at the midpoint and raising the low end of our guidance range above the high end of our prior guidance range. Our new adjusted EPS guidance range is narrowed to $10.40 to $10.50, up from $10 to $10.30 prior. Embedded in our guidance is our philosophy around our value creation flywheel, which builds in relentless high levels of business reinvestment to drive end market outgrowth, healthy leverage and strong free cash flow.  
 We expect to see investments continue to ramp in the second quarter and into the back half of the year, accompanied by leading growth and strong incrementals. We continue to expect about 1 point of growth from M&A in 2024 with a negative impact of approximately $30 million to adjusted operating income for the full year or a negative impact of about 5 points to reported leverage versus organic leverage. 
 The impact is primarily related to the technology acquisition, Nuvolo which carries noncash accelerated intangibles amortization of approximately $25 million, plus year 1 acquisition and integration-related costs.  
 We also expect a negative impact to revenues of about 1 percentage point from FX in 2024. FX is expected to offset the point of M&A revenue growth on a reported basis meaning our organic and reported revenue growth guidance is now the same at 8% to 9% for 2024. There's no change to our organic leverage target of 25% plus for the year, consistent with our stated long-term target.  
 Turning to cash. We had a strong start to free cash flow generation in the first quarter, and we expect 2024 to be another year of free cash flow conversion of 100% or greater. For the second quarter, we expect revenue growth of approximately 8.5% and adjusted EPS of approximately $3.05.  
 Please see Page 17 for additional information that may be helpful for modeling purposes. Please go to Slide #10. We remain committed to our balanced capital allocation strategy, focused on consistently deploying excess cash to opportunities with the highest returns for shareholders. First, we continue to strengthen our core business through relentless business reinvestment. Second, we're committed to maintaining a strong balance sheet that provides us with continued optionality as our markets evolve.  
 Third, we expect to consistently deploy 100% of excess cash over time. Our balanced approach includes strategic M&A to further improve long-term shareholder returns and share repurchases as the stock trades below our calculated intrinsic value. Please turn to Slide #11, and I'll provide an update on our 2024 capital deployment.  
 Year-to-date through April, we've deployed $540 million in cash with $190 million to dividends and $350 million to share repurchases. We have $2.1 billion remaining under the current share repurchase authorization, providing us with strong optionality as our shares remain attractive, trading below our calculated intrinsic value. 
 Our M&A pipeline remains active. We continue to see potential opportunities for value-accretive M&A as we did in 2023 where we made key, strategic investments to accelerate our progress across energy services and digital solutions, industrial process cooling and precision temperature control technology.  
 For 2024, we expect to deploy approximately $2.5 billion in cash. Our strong free cash flow, liquidity and balance sheet give us excellent capital allocation optionality moving forward. Now I'd like to turn the call back over to Dave.  Dave? 
David Regnery: Thanks, Chris. Please go to Slide #13. As discussed, our transport performance in Q1 was as expected, and there's no change to our outlook for the year. The overall markets are expected to be down modestly, and we expect to outperform in both regions. We've continued to provide this slide in the deck for your reference. Please turn to Slide #14. We operate our transport business for the long term. And while we're moving through a modest downturn in 2024, this is a great business with a bright future. ACT projects a strong trailer market rebound from 2024 into 2025, up 19% and project continued growth through their forecast horizon in 2029.  
 We have a diversified transport business globally with opportunities to grow across the portfolio, with leading innovation, strong execution through our business operating system and a world-class dealer network, we're well positioned to outperform in any market environment.  
 Please go to Slide #15. In summary, we are well positioned to drive differentiated growth and value over time. Our leading innovation, proven business operating system and unmatched culture enables us to consistently deliver top quartile financial performance over the long term while continuing to reinvest in our business. And I believe our best days are ahead. We have the team, the strategy and the track record to deliver a leading performance in 2024 and differentiated shareholder returns over the long term. 
 And now we'd be happy to take your questions. Operator? 
Operator: [Operator Instructions] Your first question comes from Andy Kaplowitz with Citigroup. 
Andrew Kaplowitz: Dave, can you give us a little more color into your order momentum and backlog growth? You obviously enjoyed significant acceleration orders and you mentioned strength in applied. So can you give us any more color to how much of the continued Americas orders acceleration is coming from data centers. Do you think you can continue to grow your backlog from here? And maybe your thoughts on the duration of this order cycle if it is, in fact, data center-led? 
David Regnery: Yes. Thanks for the question, Andy, good question. Look, in the quarter, we saw a broad-based growth -- and it wasn't concentrated necessarily in any 1 vertical. I mean, we certainly had strength in data centers. We certainly have strengthen in education, health care, high-tech industrials. It was almost hard for us to find a vertical that we didn't grow in. We did have a bit of weakness, and I guess you would say, conventional office and some in lodging. But for the most part, it was broad-based growth, and it was really on a global level.  
 So a lot of strength in our Commercial HVAC businesses. And the good news is our pipeline is also very strong. So this would be before an order actually comes in to be a booking, this is what our sales teams are working on. That continues to be very strong as well. So look, it's a lot of innovation. I'm certainly proud of what the team's been able to deliver, and we're executing at a very high level right now. 
Andrew Kaplowitz: David, definitely, I can appreciate that. So on that note, organic incremental margins continue to trend higher than your 25%. Given the strength in your markets and the overall ability to execute, why isn't 30% or 35% as you've been able to record for a while now, the new 25% for Trane? And then where are you on, let's say, the slope of productivity projects that you've been undertaking? Because we know you've been really focused on productivity after not being able to do as much during the pandemic. 
Christopher Kuehn: Andy, it's Chris. I'll start and then Dave may jump in. So as we think about the first quarter, investments back into the business began to ramp really stronger into February and March than, say, the start of the quarter and our run rate exiting Q1 is stronger than when we started. The pipeline for investments continues to grow. And these are across multiple categories.  
 So to your question, we really like the long-term framework of the 25% or better incrementals. That's what we're continuing to guide for 2024. But the investment pipeline and where we can see the market outgrowth here and the order rates and the revenue rates, I think, just tells us we want to keep investing back in the business. Think of these investments, again, around innovation, sales and service investments that Dave talked about in the comments.  
 These are upfront tools as well as people investments, making sure we've got capacity investments, automation in the factory; digital, the list goes on, and we want to make sure we're always funding back into the business. On the productivity side, we're not there yet. We're getting better on the gross productivity, but there's still more opportunities for us going forward. 
Operator: Your next question comes from Scott Davis with Melius Research. 
Scott Davis: Guys just following up on Andy's question a little bit. But can you mark to market where you're at on data center capability? I know you made that investment in liquid stack. I think it's called -- do you have kind of -- are you developing kind of soup to nuts capabilities in the data center to be able to handle some of these newer, hotter chips? 
David Regnery: Yes. Great question, Scott.  I think we've been very well positioned in data center vertical for a long time. And I think you know this, but technology tends to move pretty fast in this vertical compared to others. And we're certainly aware of these new technologies that are being developed really at the terminal side of cooling. So think of that as direct cooling to the chip or think of it as emerging cooling at the rack level.
 One of the things that we do really, really well at Trane Technologies is we think about systems. And if you think about a data center's cooling systems, you need to think about the entire system. So some of it certainly is what we would call the terminal side, and that's what we just referred to. But these systems also require sophisticated air handling. They also require high efficiency chillers, and we look at the entire system to really help the customer think through the entire energy needs for the whole data center. 
 The other thing that's really emerging, you're going to hear more about this is we think of the data center, think of it as a thermal management system. So I know you know this, but when you're cooling a space, you're removing heat from it. Data centers have a lot of heat. What do you do with that heat that you're removing? 
 Conventional thinking would be it gets emitted back out into the atmosphere. But how can you repurpose that heat, and we've done some projects still early stages here, where we're creating district heating loops from the heat that would normally just be wasted and reusing it as an asset. So it's a very dynamic space. It's obviously growing at a nice clip. It will grow at a nice rate for the continued future and we're spot in the middle of it, and it's always been a very strong vertical and it will be in the future. 
Scott Davis: That makes sense, Dave. And just a little bit of a pie in the sky here. But does it make more sense to think about you guys in a data center partnering with somebody like Vertiv or explicitly competing against them because it seems like you both have very different capabilities, but obviously overlap on some critical apps there. 
 So how do you guys think about that opportunity when you think about these giant, giant about like a 1-gigawatt data center, something where the engineering capabilities would presumably almost rely on maybe more than 1 supplier, not just 1. Is that accurate, Dave? Or am I thinking about it wrong? 
David Regnery: Yes. I wouldn't call out any particular company here, but I would tell you that we have technology partners that we work with because you're spot on. It's a cooling system, right. It's no different than think about a system that exists within a building, right, we may not have every component, but we would have a partner that would have that component, but we would help integrate it into a system that would be operating in an efficient way for the customer. 
Scott Davis: Best of luck guys, congrats on this start for the year. 
Operator: Your next question comes from Julian Mitchell with Barclays. 
Julian Mitchell: Maybe just a first question on the organic sales guide for the year. So it looks like the first half, you're up maybe about 11% based on the guidance, the full year you've got up sort of high singles, so second half is there at maybe 6% or so. Is the way to think about that and understand we haven't yet seen cooling season and so forth. But is the way to think about that revenue guide framework, it's a big slowdown in commercial HVAC versus Q1 because of the extremely tough comps -- because I would have thought resi and TK would look better year-on-year sales in the back half versus the first half. So with the total enterprise sort of going from 11% to 6%, is it just really that Commercial HVAC piece just battling the tough comps? 
Christopher Kuehn: Julian, it's Chris. I'll start. It is tough comps for Commercial HVAC and especially the Americas. They're going to have a great year on a full year basis. But when you think about go back a year in the first quarter of 2023, the growth there in Commercial HVAC Americas is around mid-teens. And then by the fourth quarter of last year, the growth was mid-20s. 
 So think of that as a 10-point increase in terms of growth and revenue throughout last year. So the comps do get tougher as we work through 2024. But again, they're going to have an outstanding year this year. But you're right, it is a bit of the tough comps in Commercial HVAC. 
 Transport Americas, we do expect the second half to be stronger than the first half. That is also due to tough comps. The business was up 20% the first half of '23, down 20% in the second half of '23. So the comps get easier as we go throughout the year. But you're right, you've dialed it in a little bit there. And look, we feel comfortable with the guide that we put out there now and our ability to meet or exceed that guide on the full year. 
 Let us get through another quarter of results here in the second quarter. As you know, the first quarter within Trane Technologies is generally our smallest quarter of the year. Let us get through the second quarter. We'll have a better insight on the second half of the year at that time. We feel very confident with the guide that we just released today. 
Julian Mitchell: And maybe just my follow-up would be on the sort of price and price/mix outlook. So I think in the first quarter, maybe price was about a 2-point tailwind to revenue. Maybe remind us kind of what you're embedding for the year as a whole. And has there been any shift in the expectations on the sort of price/mix tailwind in light commercial and resi HVAC from the refrigerant change in the sort of various EPA movements on that? 
Christopher Kuehn: Julian. So in the first quarter, at an enterprise level, we delivered about 3 points of price, those comps get tougher as we move throughout the year as we start getting to a little bit more of a normalization of price. Think of the full year now, we're guiding to about 2 points of price, was certainly a question on the call that we had a few months ago in our full year guide on price. 
 We thought we could maybe do a little bit better there. And delivering on Q1 gives us the confidence to raise our full year revenue by 2 points. Think of that as a point of price and a point of volume. In the Americas, we led with price in the Americas, that's generally been the model within the company and within that Commercial HVAC would have been stronger. 
 As we think about price/mix and maybe inflation a bit, we're very confident in terms of delivering the 20 or 30 basis points, maybe better in terms of price/cost, price versus inflation on the full year. That's one of the best parts, if I think about our business operating system has been our ability to remain nimble with pricing. We've got the right inputs. And as we think about commodities and how they kind of play out over the next year to 2 years, remaining nimble in terms of pricing is something that [indiscernible] offering. Your comment on residential. We're not -- Dave, do you want to cover that? 
David Regnery: Yes, we don't have a lot of 454B at least in the Americas, built into our guide, okay. We're obviously ready from a product standpoint, we'll be launching those products as we go through the year, but we're not anticipating a lot of volume in 2024, and we'll see how the year progresses for 2025. 
 On -- one of the things, too, on 454B is, I saw a couple of pre comments come out about being a new refrigerant. I just want to make sure everyone's clear. We've been using 454B in Europe for over 2 years now. So this is not a new refrigerant for Trane Technologies. We're very comfortable with the refrigerant and we've had in our portfolio for some time. A lot of it's baked in America [indiscernible]. 
Operator: Your next question comes from Gautam Khanna with TD Cowen. 
Gautam Khanna: Great results. I wanted to ask if you could opine again on what you think happens with resi -- average resi pricing next year given the 454 transition. You still think it's up kind of 10% to 15%? Or just how would you characterize... 
David Regnery: It's a good question, Gautam. Look, we don't anticipate a lot of 454B product in 2024, as I just said. That will obviously ramp up in 2025. We're not projecting 2025 yet. From a pricing standpoint, we're going to -- we'll announce pricing when we release the products. But I think what you've heard from others is probably in the ballpark as to what to expect from a pricing standpoint. We're going to see how the year plays out, okay? 
 We don't see a big pre-buy happening in -- at the end of the year for 410. Maybe you'll get maybe a minor one with some high runners. So it's really going to be -- nobody wants to get stuck with inventory. And it's just -- we have to watch out to see how the balance plays out, and we'll give you an update as we move through the year. 
Operator: Your next question comes from Joe Ritchie with Goldman Sachs. 
Joseph Ritchie: Yes, stellar results. Just -- maybe just taking it back to the data center discussion for a second. Is there a way to maybe parse out or range or on a relative basis, kind of give us like any sense for your dollar content on a data center and what the opportunity is? 
David Regnery: Yes. You start talking about averages, which are always dangerous, Joe. I mean I've read reports where people have estimated the 3% to 5% range. In some cases, I'd say they're in the ballpark, and then you get into some hyperscale that may have a different configuration. But it's not that far off. Look, we're very strong in this vertical. We have been for a while, and it's going to have a lot of growth in the future, which is exciting. But understand, it's one vertical of many verticals that we play in. And in the first quarter, we had broad-based strategy. So it wasn't just focused on data centers. 
Joseph Ritchie: Got it. That's helpful, Dave. And maybe the follow-on question for the other things that are strong, right, you had an electrical peer throughout a $1.2 trillion mega project number today. It seems like there's just a lot of investment on the comp. At the same time, like you do have some other funding like ESSER funding as an example that might be coming down. So just maybe high level, just talk to us about what you see in terms of like your quoting activity? Or what do you see coming through the pipe over the next couple of years? 
David Regnery: Yes. I'll start with mega projects. I mean I think that mega projects are happening in verticals that we've always been very strong in. So it's always difficult to say what's additive versus what's ongoing strength in a particular vertical. That said, our team is tracking over 300 mega projects. And we've had some orders that have been received. However, the majority are still in the pipeline as these are typically longer duration projects to close. 
 A lot of these projects that are deemed as mega projects are global in nature, which gives us really a competitive advantage with our direct sales force because we're able to triage decision makers and provide technical support in different parts of the world. So well in tune to what's happening with mega projects. As far as ESSER goes, look, ESSER funding, the way it's designed right now, you can take an order up until September of this year, and it has to be fulfilled within the first quarter of 2026. 
 And we've done very well with ESSER funding, but we don't believe that the whole education vertical stops after ESSER funding. There's also IRA funding that's available. And there's, of course, the municipal bond process that's always been very robust in the past. So look, the education vertical has always been strong for Trane Technologies, expected to be strong in the future as well. 
Operator: Your next question comes from Steve Tusa with JPMorgan. 
C. Stephen Tusa: Some very nice orders. Congrats. Can you just talk about what you're seeing on applied versus light commercial, just orders and revenues? 
David Regnery: Yes. I mean, obviously, in the Americas, which I think is where your question is focused, we were very strong in equipment overall. I mean our order rate for equipment was up over 40%. And we saw strength really in both applied and unitary. And in the past, I've said applied has been a lot stronger. This time, they were pretty close. So there's a lot of strength out there. And that makes sense because if you look, we had broad-based growth across really almost all verticals. And a lot of those verticals are served with different applications. So it was very strong. 
C. Stephen Tusa: And I guess what are -- are there particular verticals in like commercial that you think your gaining share in because your main peer had orders down pretty dramatically there. 
David Regnery: Yes. I don't -- I can't speak to a competitor because you get comps from 1 year to another. I would just tell you that it broad-based, you're going to have some verticals that are more on the applied side but some verticals are more on the unitary side. 
 So think about education, it's probably a 50-50 split. Conventional office typically tends to be more on the unitary side, not always, but tends to be -- retail will be on the rooftop side. But look, we're very happy with the performance we had in Q1. And I don't remember a quarter when I was talking about 40% order growth and it was as broad-based as we saw in Q1. 
C. Stephen Tusa: Right. And then just 1 last one, on resi. Can you just break down the -- in that business for the quarter, just the price/mix and volume for the quarter? 
Christopher Kuehn: Yes, Steve. Revenues were up low single digits, think of them as very low numbers, contributing price volume in terms of residential. It's just -- we start getting a [ lot of ] small numbers there in up low single digits. It did better than we expected, as Dave talked to earlier, think of price is really de minimis, maybe volume was up around 1% for resi. But let's see, we're just starting the cooling season here. Let's get through another quarter, and we'll see how the year plays out for residential. 
Operator: Your next question comes from Deane Dray with RBC Capital Markets. 
Deane Dray: So those were pretty positive comments coming out of China. So could you kind of give us a sense of where the demand is, the outlook? Because we have heard some mixed signals about at best stabilizing, but it sounds like you're seeing some pretty strong growth. 
David Regnery: Yes. The team there continues to execute at a very high level, very seasoned team, been in place for -- they have a lot of tenure with the company, a lot of strength in pharmaceutical, health care, high-tech, data centers, which is really where our portfolio plays well with our applied systems. Very happy with what we saw. Now China is a small percentage of the enterprise in the 5% range, but a lot of strength there, which is encouraging. 
Deane Dray: That's real helpful. And then can you give us a sense of where you stand on your services mix, refresh us on the target? And how do you think that plays out for this year? 
David Regnery: It's a great question. I was telling, Chris, I think we're going to -- in the Americas, we always said our service business was 50% service and 50% equipment. But with our equipment growth, we got to go back and look at the calculation.  Look, we had a very strong services business in the Q1 at a global level, it was up in the low teens. In the Americas, it was up over 15% and there's a compounding effect that's going on there. And this is the sixth year where we've had service growth of low single digits. 
 So it's -- we've invested heavily in this. I think it's one of the areas that sometimes gets underappreciated in Trane Technologies. But I'd tell you, it's 1/3 of our business. It's very resilient, and it is an enabler and that team continues to execute at a very high level and expect it in the future as well. 
Christopher Kuehn: Deane, the 6 years, up high single digits growth in services, last year was up double digits, and Dave keeps pressuring us to kind of move to the double digits. But I'll tell you, it's -- the resiliency as he called out and we like the margins there and a nice start to the year in the business. 
Operator: Your next question comes from Nigel Coe with Wolfe Research. 
Nigel Coe: And I don't often say this, but a great quarter, fantastic results. I guess -- I'm sorry, I've been going back and forth on the different calls here. So maybe just step back, I mean, what surprised you to the upside this quarter? I mean, obviously, organic came a lot better, really strong Commercial HVAC trends. But specifically, what really surprised you during this quarter? Was it just backlog conversion? Anything -- any color there would be helpful. 
David Regnery: Yes. I think there was really 2 things that were to the upside. One was our commercial HVAC business in the Americas. It really performed better than expectations. Just a lot of demand for our innovative products and the team executed extremely well. The other upside was in our residential business. Look, we thought that was a business that was going to be down low single digits, maybe even mid-single digits in the beginning of the year for Q1 with destocking that was going to occur. 
 I think that where we kind of got help there was the EPA coming out with their clarification on the sell-through for 410 and gave confidence to our independent wholesale distributors that they should be stocking up and getting ready for the season, which is what we saw. So those would be the 2 big areas that kind of where we saw the upside. The rest of the world really played out the way we thought. 
 Europe, strength in our Commercial HVAC business continues. Our Thermo King business, look, it's going to be a modest downturn in Thermo King in the year, we'll do better than the markets, but that's exactly what we saw play out in the first quarter. Asia, pretty much as we thought, maybe a little bit stronger in our commercial HVAC business, but it really played out as expected in the rest of the world. 
Nigel Coe: And then my follow-on is just the stand out here is just the resilience of the Commercial HVAC orders and backlog, especially in the backdrop of such weak [indiscernible] ABI et cetera. So just wondering, are there -- obviously, there's pockets of strength in data center, et cetera, but is there increasing evidence of just more proactive replacement demand, CO2 emission targets really driving demand? Any color? 
David Regnery: Yes. I can't answer that specifically. I haven't looked that way. But I would tell you that we continue to see a very strong pipeline. And so this would be what our sales force is actually are working on that they're putting in our CRM systems. And that remains very robust. So there's a lot of activity out there. And I hear the disconnect, too, when you look at ABI or some of the other macro numbers, you just have to look at -- we don't look at just one, okay. You have to look at several and some are aligned to one vertical versus another vertical. But look, we saw a very strong demand broad-based and the pipelines are still strong. 
Operator: Your next question comes from Andrew Obin with Bank of America. 
Andrew Obin: Can you  hear me? 
David Regnery: I can. 
Andrew Obin: Just a question. As we think about cooling for semiconductor plants and data centers, right? It seems that the scale of the project, it's going up. And the question I have for that, a, does this provide an opportunity to provide more sophisticated solution to your customers and also to capture more value to Trane? And second, what are you doing to your aftermarket support organization to take advantage of that? 
David Regnery: Yes. We talked a little bit about data centers earlier. But look, this is a vertical that tends to move faster from a technology adoption than others. 
 And we're working closely with partners and data center customers to understand what the trends are, and I would tell you, we're right in the middle of it. In the data center, Andrew, look at the entire system, okay? 
 We like to look at things at a system level. And you're hearing a lot right now on the terminal side of data center. So that would be like direct cooling to the chip or immersion cooling. We look at the entire system. So the air handling side of it as well as the sophisticated chillers, the high-efficiency chillers with next-gen refrigerants that are also required. 
 I think where you're going to hear a little bit more is on the thermal management side of a data center. They produce a lot of heat that heat is taken out of the data center, how can you repurpose it. And that's some of the technology that we're in discussions, kind of at a thought leadership level as to how we can take an asset and -- or heat and turn it into an asset in the future. 
Andrew Obin: Yes. My question, I think, was more basic. I was just thinking that these systems are bigger and more complex, they're more energy hungry. So more opportunity for -- more need for your customers to partner up with you and more opportunity for you to sort of provide these packaged energy-saving solution. That's where I was going. 
David Regnery: You're right on, Andrew, all opportunities, and it's a growing vertical. 
Andrew Obin: Got you. And then just a follow-up on M&A. You guys have been pretty active over the past couple of years. But looking at the market, the market is on to the fact that once we get manufacturing, clean rooms, biopharma, all the areas you guys have been focusing on, but these I think, are getting hot, pardon my pun. So what's the environment looking like for these bolt-on? What's your ability to sort of pursue targets at recent valuations? What does the pipeline look right now? What are you interested in? 
Christopher Kuehn: Andrew, I'll start. It's Chris. Yes, pipeline remains very active. It's Sometimes episodic when an M&A transaction closes. So quarter-by-quarter, maybe hard to call. But over the course of the year, I think the pipeline remains very active. We're very happy with the acquisitions we've done over, say, the last 18, 24 months, right? You properly described them as a bolt-on bit of strategy. Think of that around investments in the channel and investments in technology. 
 And in some cases, it's both. It's taking a great technology that has a limited channel and applying it to our deep channels in Europe and/or in the Americas. We've been very successful with that strategy. As it looks at the pipeline today, we're going to remain disciplined. We've got our hurdle rates. And as we think about what's constructive to be EPS accretive in 3 years, ROIC accretive in 3 years. 
 But I'll tell you that we've got a great balance sheet to really deploy to not only acquisitions but also deploy if the cash isn't available for M&A over to share repurchases as we see the stock trading below our calculated intrinsic value. 
 So if you go back even 6, 7 years ago with an acquisition in Europe with Thermocold, then it really started out with our more pipe chillers and thermal management systems and how that's grown over time now, I think to our sixth or seventh generation of thermal management systems, it tells you that we can take that early-stage technology and really grow it over a longer period of time. 
 We've got the people, we have a great sales team. We have a great service team. That's where some of those investments are going as well this year is to make sure we have all the infrastructure and support to keep growing those businesses.
 And I'll tell you, we've got a great team in each of our regions that can integrate acquisitions. When you think about the challenge of an acquisition, a lot of time, it's the success is depending on how well you integrate. We don't think of it as Trane Technologies is acquiring and let's take our best of Trane to the business. It really is also what are we learning from the business we just acquired and bring it into our organization. 
 And I'll tell you some of our recent acquisitions, it's spot on with taking the learnings of the businesses we've acquired, bring them into the Trane family and how do we replicate that across 40, 50 plants across the globe. So I'll tell you where we're bullish in this area. So I'd just say the pipeline remains strong. 
Operator: Your final question comes from Noah Kaye with Oppenheimer. 
Noah Kaye: Dave, this is going to be a broad question, but it goes to what you discussed around the increase in complexity in applied. When we think about the customer value proposition, and I understand there are many dimensions, it's going to differ across verticals. How does the increasing complexity play into the customer value proposition? Maybe give us the 2 or 3 biggest dimensions that, that really speaks to and where that creates a sustainable competitive differentiation for the company. 
David Regnery: Yes, great question, Noah. I think it all starts with our direct sales force that's highly technical, right, they understand the applications and a lot of times, helping the customer think through what the best solution is for whatever their need may be. 
 I always tell people we don't sell products, we sell solutions. And that's the way our account managers behave with customers. We don't -- and as the sophistication of these products continue to increase, obviously, our strength shines, not really on a global basis. 
 A lot of the decision-makers on -- especially some of these mega projects right now are on a global basis. And because we have this direct sales force globally, we're able to really triage the decision-makers and help them think through the technical side. And then, of course, the downstream effect is -- these products are more sophisticated, they require OEM service in the future. So there's a long tail associated with these applied systems that we're selling. 
 And we're investing heavily, too. It's not like people sometimes think about, as I say, we're investing in capacity. They think of it as just the plant, okay, that's part of our capacity investment, but we're also investing heavily in training of our direct sales force, adding to our direct sales force, adding to our service technicians, adding to our engineer skill set, adding to our critical to close process, adding to our back offices to make sure we have the right customer support. So it's all inclusive but it really -- the sophistication of these systems as they become more and more engineered, really just plays into the strength we have as Trane Technologies. 
Noah Kaye: And the follow-up is really around the attach rate of services to those projects, right. I think you've answered it in part, but just quantitatively how do we think about services attach rates for applied at this point? And where those grow to as you see the increasing complexity of the projects you're working on? 
David Regnery: As I said in my opening remarks, we think about an applied system, you can think about an 8 to 10x multiplier of services over the life of that system. And we want to be connected to the system, okay? 
 So the -- it's no longer just a break/fix. This is all connected solutions. And by the way, the customer wants us connected to the solution. They want to make sure that it's -- their asset is always performing the way it was designed. I was telling a group earlier this week that it's no longer the system isn't operating properly. The system is using too much energy, but we were able to detect that. And that's where the sophistication goes both ways. It's on the application of the system, but then how you monitor and service that system is also increasing in complexity, and we're right in the leading edge there. 
Operator: There are no further questions at this time. I will now turn the call back to Zac Nagle for closing remarks. 
Zac Nagle: I'd like to thank everyone for joining today's call. We'll be around, as always, for any questions that you may have in the coming days and weeks, and we look forward to seeing many of you on the road or actually at our headquarters in some cases, in the near future here. So thanks again, and have a great day. 
Operator: This concludes today's conference call. You may now disconnect.